Operator: Ladies and gentlemen, thank you for standing by and welcome to Telefónica's January-December 2015 Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, today's conference is being recorded. I would now like to turn the call over to Mr. Pablo Eguirón, Head of Investor Relations. Please go ahead, sir.
Pablo Eguirón Vidarte - Head-Investor Relations: Good morning and welcome to Telefónica's conference call to discuss January-December 2015 results. I'm Pablo Eguirón, Head of Investor Relations. Before proceeding, let me mention that financial information contained in this document related to 2015 has been prepared under International Financial Reporting Standards as adopted by the European Union. This information is unaudited. This presentation may contain announcements that constitute forward-looking statements, which are not warranties of future performance and involve risks and uncertainties. And that certain results may differ materially from those in the forward-looking statements as a result of various factors. We invite you to read the complete disclaimer included in the first page of the presentation, which you will find on our website. We encourage you to review our publicly available disclosure documents filed with the relevant securities market regulators. If you don't have a copy of the relevant press release and the slides, please contact Telefónica's Investor Relations team in Madrid by dialing the following telephone number, 34-91-482-8700. Now, let me turn the call over our Chairman and CEO, Mr. César Alierta, who will be leading this conference call.
César Alierta Izuel - Executive Chairman and Chief Executive Officer: Thank you, Pablo. Good morning, ladies and gentlemen, and welcome to Telefónica's 2015 results conference call. With me today are José María Álvarez-Pallete, Chief Operating Officer; and Ángel Vilá, Chief Strategy and Financial Officer. So, during the question-and-answer session, you will have the opportunity to address to us any questions you may have. Before starting, let me briefly explain to you the agenda for this conference call. First, I will do a recap on our vision of the crucial moment that we see for the sector, the highlights of the year, and the outlook for 2016. José María will then give an overview of last year's key achievements and the main priorities for 2016. And finally, Ángel will go over 2015 results. We are lucky to work in an industry that is dramatically changing the world. Digitalization will change everything and social progress will be exponential with significant greater voice creations. We are leading the deepest and most transforming technological revolution that has been experienced by any other generation in the history of humankind. (03:18) by digital revolution in the next decade will lead to an unprecedented social development. We keep sort of being able to imagine its impact, but we need too institutions, governments, enterprises, unions, policymakers and citizens to realize the full potential of the digital world for the benefit of society. It is the opportunity to foster economic growth across the board. Digitalization is already having a very positive impact on innovation, productivity and growth. Numbers show that the digital industry accounted for nearly one-fifth of the global growth in the last two decades. And recent report estimates that a 10% increase in digitalization of the economy will increase GDP per capita growth rate by 40%. I'm convinced that these figures will be even higher. Our referential metrics to measure economics are not capturing the total benefits of the digital era. The so called digitalization that includes the broad development befits from digitalization. To make this a reality, political ambitions is needed to really take the lead in the digital economy. The digital single market in Europe is a very clear step in that right direction. Now, it is time to act by implementing policies linked to faster digitalization and Big Data adoption across all industries because they will transform all the productivity models. Technological sectors are getting shorter and performance and capabilities are expanding. 4G is here and 5G is getting closer, supporting the initial (05:21) speed up to 50 times or even 100 times those of 3G. We are talking about exponential speeds. Today, all of us are connected 24 hours a day, but the big change from digitalization are still to come. The Internet of Things is the next exciting phase. By 2020, it is estimated that there would be 50 billion of connected things, wearables, car, houses, dishwashers, tablets and any gadgets of all kind will have sensors. The growth in the number of connections will be exponential. This comes with an exponential growth in data traffic volumes, which we have already seen in our networks. All these also drives an exponential growth in data from the information generated by us, business consumer in each of our digital interactions. And this shows we are ahead of an area of exponential growth of the digital economy. Phase two Big Data, we are facing a new wave of for growth in our industry. Few sectors that have strategic knowledge of their customers and that already have a levels to telcos. We have an opportunity to build a different kind of data relationship with our customers to give customers back control over their data. It is about building a new competitive advantage that our Group (07:00) will allow to rebalance clearly the value chains of the digital ecosystem. And we are determined to do so with a view of reverting value back to our customers through improved services and customer experience, giving them visibility and control of their digital life. And we know how to do it. I repeat, we know how to do it. We have the customers' data privacy and security and we have all the technological know-how, and this is not difficult at all to implement it. In the connectivity wave, we have a successful capture growth around mobile data monetization. And yet there remains a significant additional potential that we intend to capture. To increase penetration of (07:53) prepaid data and data roaming or elimination of zero-rated ties (07:58) to mention a few of the drivers we continue to work on. We have this additional prospect in mobile. We have as well a very important and sizeable potential around fixed data monetization. A few years ago, we started in mobile in the transition from all you can eat tariffs to tier pricing. Now it makes perfect sense to consider a similar enduring (08:25) for fixed data. There are operators in different countries already implementing it and we are working with this approach in some of operating business such as Argentina, Germany and Chile. Moreover, in the context of the new relationship, we intend to build with our customers giving them back control over their data in their digital life. They will be empowered to make a more sensible use of their data. And we expect this to yield an increased loyalty and reduce churns. Under this scenario, we could double our revenue growth rate in the near future. This further growth opportunity is not being considered by the markets today. But it is clearly there and we are going to seize it. In the last years, we have laid the foundations to capture the growth potential in our industry with significant transformation of the company since 2012 as outlined in slide number seven. We have made significant headway accelerating revenues and their mix, primarily thanks to data monetization. This along with the previous initiatives and reinforced asset portfolio has led to a stronger performance in our key markets namely, Spain, Germany and Brazil. We also achieved a record debt reduction while providing outstanding shareholder returns. In 2016, we will accelerate growth, leveraging the solid sales of differential assets. In data monetization, while maximizing synergies and efficiencies from integration and simplifications. We will boost our Big Data and Innovation capabilities to provide support to our network and customer insight. We will maintain financial flexibility focusing on continued portfolio optimization and improved return on capital employed. And we reiterate our commitment to a full cash dividend. I repeat, we reiterate our commitment to a full cash dividend only subject to and we will decide on the closing of the sale of O2. For 2015, very positive, and for 2016, we'll have even better prospects when we capture the digital economy opportunities. On slide number eight, I would like to get over the key indicators of our progress. Consistent improvement in revenues evolution, accelerating growth by 5 percentage points in the last three years, underpinned by the average revenue per asset, which increased for the second consecutive years. The recent year-on-year trends in OIBDA 3.6% year-on-year organically in 2016. Reduce (11:37) 40 basis points lower than revenue growth, which explains the flattish margin measures, the erosion registered last year. Operating cash flow returned to growth for the first time in recent years despite the peak in the CapEx (11:56). That is allowing us to support our commercial activity in our transformation. Underlying earnings per share, and I repeat, underlying earnings per share, so the real earnings per share delivered solid progress expanding €0.22 to €1.12, €1.12. And free cash flow is expected to reach €0.98 in 2015. So, the key highlights of 2015 is that we will return to organic growth simultaneously in main financial metrics. Revenue, OIBDA, and operating cash flow. Moreover, OIBDA margin has been stabilized. Going down the profit and loss, our net income earnings per share grew very solidly in underlying terms. Net financial debt increased to €49.9 billion primarily due to financial investment carried out to improve our strategic position, despite generating a robust free cash flow during the year. Let me say that we have implemented different restructuring measures to improve efficiency and productivity over the coming years, which affect our Q4 reported numbers. And Ángel will explain in detail later. We have delivered on the guidance that we upgraded last July, as can be seen on slide 10. In fact, in revenues, OIBDA margin and CapEx to sales, we had beaten our commitment. And we keep working towards our leveraged target. And we are honoring our dividend policy. The dividend has been a combination of a scrip and cash to be paid in – for the 2016. And we have also executed the share buyback program we announced with a 1.5% capital cancellation last June. Let me now highlight the guidance for this year, which is about the two years' ambitions plan given in February 2015. In 2016, we are targeting for revenue growth higher than 4%, a stabilizing OIBDA margin and CapEx to sales ratio around the level of 17%. We will continue to leverage with the goal of being below 2.35 times. And let me stress that we confirm the dividend per share for 2016 of €0.75 per share, which will be of cash, as I said before. And we might take a part of the scrip to get to the sale of O2 UK. But basically, it will be full cash. And we will also propose at the general meeting, the cancellation of treasury shares equal to 1.5% of the share capital. And now, José María and Ángel will give you more details about our recent performance.
José María Álvarez-Pallete López - Chief Operating Officer & Director: Thank you, César. 2015 has been a year in which we have consolidated our position as a profitable and growing company. First, the strong commercial momentum and the investments to build an outstanding connectivity, namely Fiber, LTE and Pay TV, are flowing directly to revenues, which ramped up versus last year. Second, we are enhancing our competitive position in key markets via in-market consolidation and extracting clear benefits in terms of synergies, which will be incremental in the coming years. Simplification initiatives and efficiencies are also worth mentioning, as they are one of the drivers behind the improved profitability and business model transformation. Third, a strong free cash flow generation enabled for attractive shareholder returns on investments. Our balance sheet has recovered its robustness when including the proposed O2 UK sale. And we have reinforced our credit quality through diversified financing. At the same time, we continue to advance in our portfolio optimization to include return on capital employed. In 2015 we have seen sustained top line and OIBDA organic growth, as seen on the slide 14. On the revenue side this year's 4% organic growth was built on several key drivers, namely the mobile data expansion and the growth of HispAm, 16.9% and 10.1% year-on-year respectively. Data and connectivity continue to transform our business, as reflected in the accelerated change in our revenue mix from traditional services towards connectivity and new services. Furthermore, OIBDA posted a robust result, up 3.6% year-on-year, and led to a positive operating leverage, which flow through margins, which is now stable year-on-year in organic terms. Our decision to invest in attracting and retaining higher-value customer is paying off. First, let's take a look at the graph of the top of the slide 15, which reflects robust organic growth across all high value services. Fiber is growing 30% year-on-year. Pay TV is gaining momentum. And LTE has skyrocketed with three times more customers year-on-year reported to name a few examples. On the second half of the slide, you can see clearly how the growth in those services has boosted average revenue per access. And finally, our quality services and knowledge of our customers are also making us a much more desirable provider, and as such, churn reduction has continued across our markets. Slide 16 shows some insights on how mobile data monetization and connectivity is boosting growth. LTE penetration reached 12% at the end of 2015, more than tripling versus 2014, leading to strong usage, more than 60% higher than 3G and double-digit ARPU uplift versus 3G. Additionally, prepaid data penetration is also fostering data traffic dynamics with HispAm penetration up 11 percentage point year-on-year to 29%. The boost in data traffic, 40% higher versus the last quarter of – Q4 of 2014 is driving the acceleration in non-SMS mobile data revenues to 28% organic year-on-year. I would like to highlight that one-third of actual customers are using more data than they initially subscribe. And more than 40% of them are subscribing additional data snacks. Going forward, we also expect further upside as data test drives launch, show very positive results in terms of data consumption dynamics. And roaming propositions drive elasticity and improve customer experience. Overall, data monetization is a reality. But we are just in the first wave. In Digital Services, as seen on slide 17, we have made significant steps in driving value for the company this year with a strong revenue organic growth of 23.6% in 2015. Furthermore, our ambition to become a video company is now a reality. We have significantly increased our video customer base and our revenues. And we will continue to invest in quality and scale in 2016 via differential content and technology. Our other digital pillars have also posted strong results, pushing us further towards creating through innovation for ourselves and our customers. And we are not doing this alone. We have formed important strategic alliance worldwide to ensure we can deliver the best in the latest technology. On slide 18, we show how TGR is creating value for the Group. Our focus is the deployment of our future-proof ultra-broadband networks, which resulted in 31 million premises passed with fiber in 2015 and LTE coverage of 49%. Network modernization towards an all-IP network is a key pillar. And we continue innovating with initiatives such as starting to shut down legacy copper central offices in Spain, Voice-over-LTE launched in Germany, LTE-Advanced with two carriers, or research and development 5G lab. Also we continued on transforming our operations. And the launch of four global centers is delivering positive results in terms of end-to-end diagnosis and the new Home Gateway Unit, which can deliver speeds of up to 300 megabits per second. Regarding IT, full stacks projects are being deployed in 15 countries. Digitalization is boosting Big Data and real-time decision, and we are maintaining record IT service delivery. In parallel, on simplification we keep on reducing applications and physical servers, closing data centers and increasing virtualization. On slide 19, we give a brief overview of our new global infrastructure company, Telxius. As Ángel mentioned in our Q3 call, we have been studying how to best optimize our portfolio of infrastructure assets to drive better return on capital employed. Telxius is a combination of certain infrastructure assets of the Group, including part of our towers and our submarine fiber optic cable. And in the future, we envisage more Telefónica-owned assets being incorporated in Telxius. From the tower site, it would initially include close to 15,000 telecommunication towers. The cable business will consist of our capacity and IP businesses through an international Tier 1 network with the largest and most reliable submarine fiber optic cable in Latin America. The global company, will enable a more specialized and focused management of Telefónica's infrastructure with the aim of increasing the services provided to other operators, and allowing the new company to participate more actively in the growth opportunities that exist in the industry, including the possibility of acquiring third-party assets. CapEx intensity is paying off and has been the driver of our competitive advantage by transforming our network and systems as seen on the slide 20. We have also invested significantly in spectrum in 2015, which safeguards future growth. And we expect these investments to be lower in the coming years. Operating cash flow has returned to growth in full-year 2015. As César mentioned before, thanks to the positive trends built on our superior networks which have enabled us to become a more robust company and the improved OIBDA trends combined with efficiencies both at OpEx and CapEx levels. Now, Ángel will explain in more detail the 2015 results.
Ángel Vilá - Chief Strategy and Finance Officer: Thank you, José María. Moving to slide 22. Let me summarize our key financials. Reported year-on-year evolution is significantly affected by non-recurring factors that were mostly booked in Q4, including, first, a provision for restructuring costs impacting OIBDA by €3.1 billion, mainly affecting Spain with the announced voluntary employment suspension plan. And second, multi-year commitments relating to Telefónica's charitable foundation. It is important to note that these non-recurrent items have no impact on free cash flow generation in fiscal year 2015 and are expected to enhance efficiency and free cash flow going forward. In organic terms, revenues increased 4% in 2015 to a total of €47.2 billion, while OIBDA increased 3.6% improving its year-on-year growth rate versus last year by 3.4 percentage points and margin remained stable. More significantly, operating cash flow returned to organic growth in the year. Finally, net income reached €5.8 billion in underlying terms, growing by 29.7% versus 2014. Please turn to slide number 23 to see in more detail the impacts affecting Q4. Non-recurrent effect reduced Q4 OIBDA and net income by €3.4 billion and €2.6 billion respectively, with a provision for restructuring costs accounting for approximately 90% in both cases. FX is dragging the year-on-year OIBDA variation by 11.8 percentage points with a depreciation of LatAm currencies since last August becoming more tangible as the year progressed. The contribution of perimeter changes to OIBDA is 2.6 percentage points lower than last quarter as the consolidation of E-Plus is no longer affecting year-on-year change. Turning to slide 24. In 2015, free cash flow remained relatively immune to non-recurrent impacts and also absorbed most of the negative FX impact through lower CapEx, interests, taxes and minorities. As a result, free cash flow generated €3.5 billion or €4.8 billion, excluding spectrum payments, up 1.6% versus 2014. I would like to highlight the outstanding performance of free cash flow in the quarter, 2.6 times higher versus the same period of 2014, which resulted in a generation of €2.3 billion based on improvements in most free cash flow metrics. Free cash flow per share reached €0.71 in January through December supporting an attractive shareholder remuneration with a 66% cash dividend payout. Moving to slide 25. We start to show the performance of individual operations. In Spain, strong commercial traction continued in the quarter with an excellent trading balance, higher loyalty and more gross adds. As a result, net adds improved year-on-year in 2015 in every access category with remarkable growth achieved in the highest value accesses. Fiber net adds amounted to 1 million, plus 25%; and Pay TV net adds reached 1.8 million, plus 47%, partly due to the incorporation of Digital Plus. In addition, the leading convergent offer Fusión+ and the TV Premium promotion proved to be powerful tools to drive customer upgrades towards higher end packages with price premium. As such, 26% of the fixed broadband base enjoyed ultra broadband speeds, and 53% of Pay TV customers had contracted TV add-ons. This better mix along with the tariff update applied in the second quarter resulted in a 7% year-on-year increase of Fusión ARPU to €74. And once the promo winds in Q1 2016, growth will be even more visible. In 2016, we continue progressing in our more-for-more strategy, repositioning again tariffs, while adding more value, namely, TV contents and data allowance. Turning to slide 26. We can see the sustainable improvement in topline growth for Telefónica España, excluding DTS, growing for the second consecutive quarter to 0.8% year-on-year. After the end of the promotion, TV packages' uptick has been very positive and will translate into an approximately €30 million incremental revenue flow in Q1 2016 versus Q4 2015. Moreover, Pay TV penetration is still in the 30%. So there are encouraging dynamics to make us believe that the positive trend in revenue is going to continue improving. With regards to profitability, it must be seen at the new perimeter level, including DTS, because of the content allocation criteria. As such, organic OIBDA margin in 2015 stood at 42% with a limited year-on-year decline of 1 percentage point despite the strong commercial activity and the impact of the TV discounted prices. Importantly, I would like to remark two relevant facts regarding cost items. First, net content cost per customer is declining 17% year-on-year in Q4 due to a larger part of cost recovered through the TV wholesale offer and strong growth in the Pay TV base. And second, a new restructuring plan has been launched and in the near-future will drive sustainable efficiency gains. Let me explain in more detail this plan in the next slide. The new social agreement signed with the unions includes a new plan for voluntary employment suspension for employees aged 53 years old or more that have worked for more than 15 years in the company. As benefits, we will save just in direct personal expenses €370 million per year from 2017, and indirect cost savings should increase this figure. In cash terms, the plan is cash flow positive from year one as we expect more than 75% of employees signing to the plan to leave the company in 2016 and the rest in 2017. Overall, the company's transformation is accelerated to improve profitability in the coming years. Germany successfully maintained market momentum as shown in slide 28. We recorded solid contract net adds with churn improving 0.2 percentage points year-on-year in a rational and dynamic market. As a result, our LTE base increased 13% since September to close to €8 million, leverage on a 75% LTE coverage at the end of December. On the fixed side, let me remark the continued positive trend of VDSL. Topline accelerated its year-on-year growth in the fourth quarter to 2% underpinned by strong handset sales. Mobile service revenues remained broadly flat in the year with an increased share of the partner segment and aligned with full-year outlook. Finally, let me highlight the solid data monetization results, with 40% of our O2 Blue gross adds opting for a tariff with more than 1 gigabit. On slide number 29 we highlight the significant synergies captured in 2015 explaining more than 50% of quarterly OIBDA growth driven by successful integration progress, including milestones such as execution of 50% of the leavers program target, 80% of expected shops reduction, and consolidation of 30% of targeted in-city facilities. In addition, we have 3G national roaming available offering our customers a better data experience. All these, together with our subsidy approach focused on retention, led to an exceptional 35.5% OIBDA growth in the fourth quarter in organic terms and to a 19.9% year-on-year in 2015. As a result, organic OIBDA margin, ex non-recurrents, in the full-year increased close to 4 percentage points to 23%. Finally, I would like to point that operating cash flow more than doubled versus 2014, totaling €826 million and with a positive impact of €280 million in the year savings from synergy execution. Please turn now to slide 30 to review our strong commercial performance in Brazil. In the mobile business, our focused strategy on value is bearing fruit. We have captured half of new contract customers in 2015, allowing ARPU to maintain a positive year-on-year trend despite regulation and the macroenvironment. Moreover, in the fixed business, our successful journey towards becoming a fiber and video company is reflected in our growing market share of the broadband and Pay TV services with a significant positive impact on ARPU trend. As a result, we have 97 million customers in a market of more than 200 million people. In slide 31, we detail the robust revenue trends in Telefónica Brazil clearly outperforming peers. The fixed business once again consolidated its positive and growing contribution this quarter. And the mobile business strengthened its growth profile with mobile data already representing almost 50% of mobile service revenues and growing by 38% year-on-year. Let me remark that in 2015 we have gained 5 percentage points of revenue market share in the mobile business. In addition to this sound revenue performance, costs remained under control, growing well below inflation to drive an OIBDA increase of more than 7% year-on-year in Q4, with synergies expected, so far fully aligned with our best-case scenario. To review our progress in Hispanoamérica, please turn to slide 32. Commercial performance in Q4 consolidates the increasing adaption of value services in the fixed and mobile businesses with contract net additions tripling year-on-year to reach their best quarterly figure on record. This outstanding performance is the main lever backing the solid topline and OIBDA growth throughout the year with revenues in Q4 growing by more than 8% year-on-year and OIBDA by 4% despite the acceleration of commercial expenses, mainly from the second half of the year. Reviewing performance per country, slide 33 shows how commercial momentum is driving growth. In Mexico, our market positioning is gradually strengthening. We posted record-high quarterly net adds, reached more than 26 million accesses, after adding more than 3 million new customers throughout 2015. On top of that, LTE is booming, underpinned by the accelerated network deployment already reaching 45 million POPs covered at the end of 2015. As such, full-year revenue and OIBDA are growing year-on-year, almost 8% and 39% respectively, whilst year-on-year acceleration in Q4 is driven by the strong tariff promotions and the higher commercial costs amid intense competition. All in all, let me also highlight operating cash flow, more than doubling year-on-year in Mexico to reach €215 million in 2015. In other countries such as Colombia, Peru and Chile, commercial traction remained very solid with robust momentum driving outstanding high-value net adds. In Argentina, revenue and OIBDA year-on-year trends in the last quarter are mainly affected by the different timelines of tariff updates, but full-year growth remained strong with an impressive uptake of LTE devices in the second half of the year. On slide 34, Telefónica UK added 0.7 million customers in 2015, with last quarter being the strongest in the year underpinned by market-leading customer loyalty and successful commercial propositions. The rapid rollout of LTE has translated into an outdoor coverage of 80% at December which led to an increase of 5 percentage points quarter-on-quarter in penetration to 35%. Also, I would like to highlight that according to Ofcom, O2 had the most satisfied customers in the mobile market for the seventh year in a row. As a result, mobile service revenue grew for the sixth quarter in a row excluding O2 Refresh and was up 3.4% versus 2014, thanks to ongoing customer appetite for high-value tariffs. Total revenue increased 4.6%. But the slowdown in high-end handset sales in the last three months led to revenue growth deceleration. OIBDA ex non-recurrents grew by more than 2% in the year and maintained similar growth trend versus Q3 on the back of revenue flow through and continued cost control. With this, OIBDA margin grew 0.6 percentage points and reached 24.6% in 2015. Let me now move to the financial slides starting on slide 35. Net debt at the end of the year stood at €49.9 billion, on track to achieve our leverage target after the sale of O2 UK. Major drivers for the debt evolution have been €3.5 billion free cash flow generation or €4.8 billion pre-spectrum payments, €4.2 billion dedicated mainly to dividends and share buybacks, and €2.7 billion financial investments net of equity funding mainly for the acquisition of GVT and DTS. For 2016 and beyond our leverage will reflect the cash flow generation from improved operational performance, the sale of O2 UK, and other corporate actions. On slide 36, our effective interest cost has moved down by 57 basis points in the year to 4.69%. This improvement has been made possible, mainly thanks to a decrease in fixed-rate debt in euros, the reduction in annual rate (41:23) and lower refinancing cost leading to 51 basis points savings. For 2016, we expect the effective interest cost to be below 5% continuing the declining trend. In 2015, we completed another year of well-balanced and robust financing activity for €18 billion. 26% was raised in the equity market on top of the strong support received by the banking community and access to alternative funding sources by geography and product. Our liquidity position (42:05) has been increased to €19 billion to cover maturities beyond 2016. Should we factor in the cash proceeds out of the upfront payment on the UK sale, our liquidity position (42:20) would be around €32 billion with a very comfortable coverage of upcoming maturities. So now, I hand back to César for the concluding remarks.
César Alierta Izuel - Executive Chairman and Chief Executive Officer: Thank you, Ángel. To finish, please move to slide 38 for our final conclusions. We posted a very solid set of results in 2015, better positioning us for further growth. We invested in network differentiation, translating into a strong commercial momentum in fiber, 4G and Pay TV. We successfully integrated the companies incorporating into our portfolios in a record time. In 2016, we will maintain revenue momentum with significant data monetization opportunities ahead of us. We will be accelerating transformation, synergies and simplifications while engagement will be sustainable. And we remain committed to enhance financial flexibility and to an attractive shareholders' remuneration. And finally, let me remark that when you see the way the picture, we are very excited about the brilliant future for the sector. Thank you very much. And now we are ready to take your questions.
Operator: Thank you. Our first question comes from the line of Georgios Ierodiaconou from Citi. Please go ahead.
Georgios Ierodiaconou - Citigroup Global Markets Ltd.: Good morning and thank you for taking the questions. My first question is around the dividend policy. I know it's hard to comment on political (44:43) scenarios. But given there is some uncertainty around the sale of O2, can you give us some color on your thoughts should that event arise? I mean, until last year, you were distributing around €0.40 of cash dividend. Do you see or expect that you can at least sustain that level of dividend in cash, even in the event of the sale being blocked? And my second question is around the real state restructuring. Can you give us an idea of what you expect to do with the proceeds? If it's proceeds in the end, is it for paying down debt? Or maybe using it to finance strategic options in LatAm? And if I could ask, there's still 47,000 towers left. Will be hard to monetize those towers because of that geographic mix? Or would you expect to have a second phase of real estate disposals in the coming years? Thank you.
César Alierta Izuel - Executive Chairman and Chief Executive Officer: This is César. Thank you for the question. And with regard to dividend, I've said various times that the €0.75 of dividend is fully assured for the next, I don't know, five years, 10 years. So and we – I have said that maybe, maybe – but I would say (46:12) that provided this are same. To pretend at the 5% that take if we consider too we will have a part of a scrip dividend. That means 40% (sic) [€0.40] (46:22) in cash and €0.35 in a scrip dividend. But let me remind again, the priorities are practically nothing. And which is totally, totally assure is the payment of the €0.75 per euro in dividends for the next, I don't know, five years, 10 years. So this is going to be like that. And I feel very, very, very confident that it will be like that.
Ángel Vilá - Chief Strategy and Finance Officer: With respect to the second question, I assume that you are talking about Telxius, the company we're launching for passive infrastructure. The company will start with an initial contribution of mobile towers from the Telefónica portfolio of mobile towers, around 15,000 towers; and the submarine cable systems that we have around Latin America. The number of towers that we are contributing initially are not, of course, the whole portfolio of towers from Telefónica. That would probably, as José María was saying in the presentation, be contributed or brought down into the infrastructure vehicle later on, as well as potentially consolidating towers from other – or infrastructures from other third parties. With this vehicle we'll have clear levers of growth. One would be the classical of colocation in towers. We continue to build towers across our footprint, that would be a second lever of growth. We will also be able to consolidate infrastructure from third parties. And fourth lever would be the continued contribution obviously at arm's length of Telefónica-owned infrastructure into the vehicle. And with respect to the proceeds or the use of funds or financially what we're aiming at with this transaction, we will be able to strengthen our balance sheet, and part of that can be used for debt reduction also. We plan to release funds in order to invest in other areas of growth that are available, that are in front of us. And third, and clearly, we are trying to optimize the return on the capital employed that we have in this type of infrastructure.
Georgios Ierodiaconou - Citigroup Global Markets Ltd.: Very clear. Thank you.
Pablo Eguirón Vidarte - Head-Investor Relations: Thank you, Georgios. Next question, please.
Operator: Our next question comes from the line of Mathieu Robilliard from Barclays. Please go ahead.
Mathieu Robilliard - Barclays Capital Securities Ltd.: Good morning. Thank you for taking the questions. First, if I can come back to the question of the UK business, I understand you think the chances of the sale going through is very high. But still imagining for a second that it doesn't happen, can you share with us what you think the reaction of the rating agencies would be? Do you think that would put the rating or the outlook at risk? Or are you very confident that wouldn't be threatened? And the second question had to do with Hispanoamérica, excluding Venezuela and Argentina, still some good growth. But there are areas of slowdown in the mobile business. And I was wondering what was the outlook for 2016? I understand the slowdown is linked to more competition. But is it also the macro hitting consumer spending? Thank you.
César Alierta Izuel - Executive Chairman and Chief Executive Officer: With regards to – and Ángel will explain more than me, and when it's time to react to (49:56) O2, we are very, very confident that the transaction will be approved. We'll see what is the reaction of the European Union. The European Union is very, very positive. The European Union is fully aware of the need to digitalize Europe. And this means that the important thing is to digitalize all the countries. And that means that this thing about three, four players is becoming irrelevant. And that's the fact. And all the conversation we had during the Mobile World Congress this week are in that direction. And with regards to Latin America – you've seen our results. You saw the results of Brazil, and you saw the results of the other countries. And we are very happy to be in a region that has 350 million people, a region that has the rate of unemployment of 6%, a region that has a tremendous growth potential, a region that all the governments in Latin America from Rio Grande to the Patagonia think that they need to be digitalized. And they are going to support us and the rest through the current regulation to digitalize because they need that. And our numbers – so clearly – and let me again give you the figures of Brazil that what people – or I don't know, what macro investors think has nothing to do with the reality. The region is going to grow and it's totally undervalued. This is clear, my opinion, totally undervalued. And we are very happy of the position to have in Latin America, and it's going to grow a lot, especially in our sector. We're going to get tremendous growth in our sector in Latin America. Now, one thing you should not forget, which is never, is that, when we talk about digitalization, we only talk about consumers, and we don't talk about business. There are millions of businesses in the footprint of Telefónica that need to be digitalized in the next two years. As to who is going to head to keep alive (52:35) this business? Telefónica. And it's going to mean? A tremendous increase in data traffic and monetization. And it is very clear that the only ones that are going to do that, it is us. And I'm going to be very frank to you, all of this (52:51) are not going to monetize that, because they don't have the capabilities, the connection, the network or anything to do it. And they look to us. And this is a tremendous potential, which is not reflected in the statistics (53:08) of growth of our sector and especially in Telefónica. Ángel, do you want to...
Ángel Vilá - Chief Strategy and Finance Officer: Let me give some additional color on the UK and complete a little bit the answer regarding the rating concern, Mathieu. So one of the reason that make us feel confident about this transaction, we'll be clear by the European Commission. First, we are convinced that the proposed transaction will have a positive impact on effective competition in the UK market, in particular, with regard to price competition, network quality and consumers' choice. Second, the preliminary competition concerns that have been raised by the Commission are not materially different, and, even in some cases, like the pricing, are less concern that previous merger cases, which, by the way, all of them have been cleared in the past. The merged entity spectrum holdings will be less than both those held by either Vodafone or by BT&E (54:15). So there is not a sufficient spectrum concentration post-merger that can give raise to competition concerns. The combined market shares, in this case, are not materially higher than those on similar mergers such – Ireland and Germany. And we believe that Hutchinson publically has stated some promises, some very clear commitments with respect to this transaction. The promise number one, as per the letter sent by Mr. Fok (54:47) openly through the FT was not to increase unit prices. Promise number two was regarding commitments of higher investment that the two individual entities are doing today. Promise number three, regarding opening a network and factional share ownership to other companies. We think that these and other potential remedies to be discussed between Hutchison and the Commission, are demonstrating, first, the commitment of Hutchison with the execution of the transaction. And second, an understanding of how to address the Commission concerns that they have to insist in some areas are less – are lower concerns than the ones that had been expressed in previous transactions and specifically on the pricing. Well, we think – we are confident that the transaction will go ahead, but what if not? We have already been in conversations with ratings agencies. We have presented confidentially to them what could be alternative plans for our UK asset and we have presented to them alternative plans, or complementary plans, sorry, for other assets that we have in our perimeter. And ratings agencies know that we would have plans in place to execute, would take some time, but we think we would be given credit and time given our past historic execution of what we have been sharing with them.
Mathieu Robilliard - Barclays Capital Securities Ltd.: Thank you very much.
Pablo Eguirón Vidarte - Head-Investor Relations: Thank you, Mathieu. Next question, please.
Operator: Our next question comes from the line of Jonathan Dann, Royal Bank of Canada. Please go ahead.
Jonathan Dann - RBC Europe Ltd. (Broker): Hi, there. Thank you for taking the question. It was really two. Could you – my understanding is the CNMC has put out some new fiber regulation in the last days, if you could give us your thoughts on what implications? And then secondly, in Latin America, I think you've mentioned that the local assets are undervalued. Do you think – and I think historically you've been – I think you've talked about assets like Sky, perhaps other assets in Colombia, Mexico. Do you think the need for convergence? Do you think we see a wave of consolidation perhaps in Latin America or perhaps more investments in fixed fiber or fixed cable from Telefónica?
Ángel Vilá - Chief Strategy and Finance Officer: Yeah. Thanks for your question. I will take the one regarding the regulation in Spain. Well, under new regulatory framework that was issued yesterday by the CNMC, first, let me say that we don't get to understand why somebody needs to regulate something that has been performing well. Spain has become the leader in Europe in ultra broadband, has become a ultra broadband powerhouse in the middle of the crisis, and it has become, again, the leader in terms of absolute connections of fiber. Having said that, it is not just Telefónica, who has been driving these efforts. Our competitors in Spain have also been deploying ultra broadband networks. And if I'm not wrong, Orange has more fiber in the Spain than in France. We follow that into consideration. The CNMC ruling of yesterday needs to be completed because some of the decisions are still pending mainly on the prices of the indirect access. But basically has some positives; first, geographical segmentation. They acknowledge that there are significant parts of the spending, which regulate – competition already exceeds having more than or at least three ultra broadband networks. We think – we don't get to understand why this has been limited to the coverage that was established in mid last year. And why not at the end of this year or a more dynamic approach, but that's positive. A second positive thing is that it is, for the indirect access, it is not cost-oriented, it is retail minus and based on replicability. But in our opinion, it will significantly decentralize investments, because first, without knowing what are going to be the prices of the indirect access, it would force us to focus on the already defined competition zones. And I guess that our competitors are not going to get into further investments until they know how those zones – prices are going to be declared. So, for us, there's still some unknowns that need to be cleared, like the prices of the wholesale bitstream access or like indirect virtual unbundling of the local access. And as far as we don't know those prices, it is hard for us to say what are going to be their total implications. So too soon to say. We will focus on our investment in the competition zones and we will expand in some other areas, but we will emphasize connections towards more home passed.
José María Álvarez-Pallete López - Chief Operating Officer & Director: Regarding the second question, it has been an ease – critical element in our strategy to manage our portfolio in a way that we focus in certain geographies and we try to be stronger in those geographies behind in-market consolidation. We have been doing this consistently in the last few years and these market consolidations sometime have taken the form of mobile-to-mobile, sometimes have taken the form of convergence and consolidations. So you should expect us to be analyzing any such type of opportunities that could arise in our portfolio consistently or regularly. With respect to Latin American assets that you were pointing out, we think that that region is suffering – the valuations of assets in the region are being suffering from the cyclicality that we have seen and we have lived through this many times or several times in the past. We believe that some cases, valuation cases are very compelling, and because concerns are in the price, but the upsides are not. Having said this, yeah, we analyze cases very rationally, taking into account what are the potential benefits for our shareholders, what are the potential synergies, what's the right valuation and when is the right time to do any move. So you should expect us to analyze in-market consolidation opportunities and you should expect us to be extremely rationale before moving on those.
Jonathan Dann - RBC Europe Ltd. (Broker): Thank you.
Pablo Eguirón Vidarte - Head-Investor Relations: Thank you, Jonathan. Next question, please.
Operator: Our next question comes from the line of Andrew Lee, Goldman Sachs. Please go ahead.
Andrew J. Lee - Goldman Sachs International: Yeah. Good morning. Thanks for taking my question. Just one follow-up because my other question has been asked. But on differentiation, which you're making a big point on in the presentation, your fixed network differentiation is clear. But my question will be on your confidence in the benefit of your video strategy. Content costs appear to have diluted returns and margins in most European markets. What do you think is different about the Spanish market and your setup, that means you can capture greater value from your investment? Thank you.
José María Álvarez-Pallete López - Chief Operating Officer & Director: Well, focusing on the Spanish situation, remember that we are coming from our convergence process that we initiated back in 2011 with the creation of Fusión, the launching of Fusión, and therefore, pushing very hard for our convergence strategy here in Spain. A crucial part of that strategy was to deploy fiber, having a very attractive and quality-based product, coverage also in terms of LTE, and, therefore, in terms of trying to be able to capture the first wave of data monetization as César was stating in the presentation, which is trying to capture ARPU uplifts coming from speed and capacity. We have tried and we think that we have been somehow successful in doing that. The second wave of data monetization, when you have in place this robust infrastructure of fiber and LTE is about value-added services. And the main value-added services is video. Video, it's the crucial component to drive up data consumption in this new world. And that's why we have been so focused on the content part of our strategy in Spain as well. We have tried to do that in a rationale manner and we have tried to do that combined with the remedies that were applied out of the acquisition of Digital Plus. And that's why we have been trying to progressively put more value in our offer. More value meaning, both at the same time, more gigabits or more megabits per second at the speed and at the same time more content. Thanks to that, we have been able recently to move ARPU upwards. And thanks to that, we are capturing more value out of the value proposition that we are making to our customers. Our customers in Spain did value in us providing more content, more speed, more capacity and are willing to share most of their revenue with us. That's why we have been so keen. And in terms of the impact on the margins, which, I guess, it might be your follow-up question; we are trying to make sure that this is compatible with margin stability. And that's why you are seeing us absorbing the extra cost of those content, we're doing extra efforts in other parts – components of the cost structure of Telefónica de España like this Voluntary Suspension Plan and others that we have been putting in place very recently. The major outcome that we are having out of all of that is a significant improvement in churn. We are not just improving ARPU, but also churn is improving. So content strategy needs to be put in the context of the overall strategy that we are following on in Spain and that is driving to revenue growth and hopefully OIBDA stabilization in the coming quarters.
Andrew J. Lee - Goldman Sachs International: Thank you. Understood. Can I just follow-up with one question on – what are the markets or what are the companies do you look at that has successfully executed a similar strategy? Is there a real world example that gives you confidence in this strategy? Thank you.
José María Álvarez-Pallete López - Chief Operating Officer & Director: Well, the answer is that we are taking pieces from different components, what's happened in the U.S., what has also happened in other places, but mainly this strong convergence, we are – we think that it's – it may be happening here in Spain. I think that – taking into consideration our starting point in terms of the situation that we have in Spain back in 2010, 2011, the quality of our network. But again, you will not see in Europe one single country in which there isn't stronger network in terms of fiber-to-the-home. And as a result, you would not see, in Europe at least, a strategy similar in terms of such a stronger convergence. And it has been mainly supply-driven, not demand-driven.
Andrew J. Lee - Goldman Sachs International: Thank you.
Pablo Eguirón Vidarte - Head-Investor Relations: Thank you, Andrew. Next question, please.
Operator: Our next question comes from the line of Mandeep Singh, Redburn. Please go ahead.
Mandeep Singh - Redburn (Europe) Ltd.: Hi. Thank you. I have two questions, please. The first one is on sort of the Spanish EBITDA (sic) [OIBDA] (01:06:19). Organically, in Q4, I think EBITDA (sic) [OIBDA] (01:06:23) declined over 6% year-over-year. The revenue growth is accelerating. Can you just sort of give us – excluding the benefits of the head count restructuring, what other drivers you see of actually getting EBITDA (sic) [OIBDA] (01:06:36) to be stable in Spain and potentially growing? I'm not asking you for a prediction on time table, just to understand some of the drivers. Secondly, on Brazil, you reported a 7.3% EBITDA (sic) [OIBDA] (01:06:47) growth in Q4. But if you adjust for the workforce provision you took in the fourth quarter of 2014, EBITDA (sic) [OIBDA] (01:06:55) growth in Brazil was actually zero. Again, if I look at consensus numbers for 2016, I think people are organically looking for about 10% EBITDA (sic) [OIBDA] (01:07:03) growth. So, could you just explain to us some of the drivers of EBITDA (sic) [OIBDA] (01:07:08) growth in Brazil organically in 2016 given the exit run rate was 0%? Thank you.
José María Álvarez-Pallete López - Chief Operating Officer & Director: Thanks for your questions. I mean, first, focusing on Spain, OIBDA trend in Spain. During the last quarter of 2015, we have a full impact of TV rights of namely football rights. And also we have some comparison that was making it more difficult namely on the year-on-year with 2014 because some other components of the cost function of the Spain namely the labor force and the pension fund contribution was retaken during this year. So, those are most of the effects that have been scored (01:07:50) during the last quarter. Going forward, during 2016, we are going to have several trends going around. First, we'll have a full year of content cost impact, also a full year of wholesale revenues coming out of the obligation that we have to share those contents. And then you have other saving trends going around on the effort that we have done during 2015 and the effort of the suspension plan that we have been taking in place. Global trends. In terms of the overall cost impact of content coming in 2016, it would be higher than in 2015 because we will have the Champion's League and some of the other content cost will also be increased, namely the Formula 1 and some MotoGP. But in exchange of that, we'll have positive trend coming from the optimization of the distribution that was provisioned at the end of 2015, the insourcing of activities that is being carried out in Spain and then the savings coming from the Voluntary Suspension Plan that we have been taking in place. Overall, I guess as a bold figure, I need to tell you that on an ongoing basis, on a recurring basis, the savings coming from the Voluntary Suspension Plan is higher than the extra content cost that we are going to have recurrently. So, we do think that OIBDA trend should improve in the coming quarters in Spain. And taking your question on Brazil, during 2015, we have significant impacts on OIBDA deteriorating over trends. First, we have a significant regulatory impact coming from interconnection. Second, we have significant bad debt provisioning mainly in the first three quarters of the year. And third, we have a significant inflation on the energy cost that was impacting us all along the year. In exchange of that, we have a few limited exposure to the synergies that we're starting to be generated just in the fourth quarter. Going forward, we think that most of the impacts on our core – on a year-on-year basis will be smooth, namely the energy costs were already there, the full year of 2015. Also, remember that bad debt has been significantly improved namely in the third quarter and therefore, that would ease our comparison going forward. And then synergies will be significantly accelerating the rate of flow-through cash flow in this year. So, we feel comfortable with the trends going forward in Brazil, even taking into consideration some of the impacts like the energy costs are here to stay. So, overall, I think that the management that our team is doing in Brazil, namely in synergy generation has been accelerated. The integration has been pretty successful. And I guess that we are going to be trying to be pretty transparent on that as we have been in our German case because I think that the synergy case in Brazil is a credibility factor for us. So you should expect for us to be very transparent on synergies generation going forward.
Pablo Eguirón Vidarte - Head-Investor Relations: Thank you, Mandeep. Next question, please.
Operator: Our next question comes from the line of James Britton, Nomura. Please go ahead.
James S. Britton - Nomura International Plc: Thanks very much. I'm going to stick with Spain, please. Can you just help us understand where the revenue growth in Spain in 2015, as you fell short of your expectations of positive growth? Clearly, it's going in the right direction, but where did it fall short of your expectations? Which KPIs were you expecting to be better through the year? And then on the Fusión products, I know you talk about churn starting to come down. But I think Fusión churn has been pretty flat for most of the year. So when do you expect churn to actually come down below the 1.2% sub monthly figure? Thanks.
Ángel Vilá - Chief Strategy and Finance Officer: Well, thanks for your question. In terms of what did not go into the direction that we are foreseeing in 2015, there are mainly two factors. First, the strike that we have during the month of April and mid-May last year. And second, the delay on the approval process of Digital Plus that delayed our joint commercial effort on TV. So those are the two major – or the two largest things that were not going into the direction that we were contemplating when designing our numbers at the end of 2014. And in terms of Fusión, you're right. They are somehow flat, improving in some products and stable in others. But you need to school into the model the fact that we have been stepping out of retention clauses during 2015. And therefore, having a stable churn without retention clauses, and therefore competing with our competitors here in Spain, without that retention tool is a significant proof point of the fact that our product is working. As we speak we think – and remember also that in that meantime, with that stable churn is with some ARPU upgrades. We have been putting more value for a slightly more money. So, those two factors allow us to think that the underlying churn trends are good, and therefore, we should see improvements going forward. So, to make a long story short, having a stable churn with price moves, even if we have been upgrading significantly the offer and without retention clauses, I think is a good outcome for 2015.
Pablo Eguirón Vidarte - Head-Investor Relations: Thank you, James. Next question, please.
Operator: Our next question comes from the line of Keval Khiroya from Deutsche Bank. Please go ahead.
Keval Khiroya - Deutsche Bank AG (Broker UK): Thank you. I've got two questions, one on LatAm and one on Spain. Just going back to LatAm, obviously it's some quite important market structure changes, say, for example, Entel in Peru; Millicom in Colombia; and one most recently in Chile. Can you talk a little bit more about whether these smaller players have had an impact on your business? And also how the pricing trends have developed in Peru, Chile and Colombia specifically? And then secondly, you mentioned the benefit of readjusting your football tariffs in Spain, but obviously your competitors are still charging less than you. To what degree are you concerned about this price gap between you and your competitors? And do you think it could threaten your ability to monetize the more expensive rights, which start in the second half of this year? Thank you.
José María Álvarez-Pallete López - Chief Operating Officer & Director: Well, thanks for your question. I mean regarding the first one on the entry of new players in Chile, Peru, and competitive dynamics in Colombia in terms of MVNOs. It is true that they are affecting mainly on the low end on prepaid. And therefore, on those layers of customers, low end customers, they are having an impact. For different reasons and for different strategy, the strategy of – one in Chile is very different from Bitel in Peru and certainly different from Virgin in Colombia. They are focusing different layers of customers, and they are having an impact. Our own strategy is to focus on value customers to make sure that we will not lose the customers that actually are generating a better ARPU, better churn, because we think we have, in all those countries, a good network. And therefore, we can compete on value, we can compete on speed, we can compete on capacity. So, different countries, different dynamics. It is true that they have increase in the low end. So far, they are not affecting us on the mid and high end. And that's why underlying revenue trends are still looking good. But something that we need to monitor in the case they will be moving out what's on the value chain. But we do not see their network or their infrastructure capabilities being able to move into that direction. In the case of Spain, competitors have promoted as we have promoted initially as well that if we read them right, they are moving upwards. I mean, they are moving upwards, because exactly the same impact that we are going to have in terms of having more content cost, they will have. Because they will share, they have decided to get those content as well. And therefore, the impact that this is going to have on their accounts is going to be also relevant. And therefore, we think that they should – that they are going to be focused as well in more value. They will provide more value in their offer, but they will think that they will be moving their ARPU up as well. So, the trends that we see in Spain not just for us is a little bit more money for more value. And we think this trend is going to affect all of our competitors here as well.
Pablo Eguirón Vidarte - Head-Investor Relations: Thank you, Keval. Next question, please?
Operator: Our next question comes from the line of Luis Prota, Morgan Stanley. Please go ahead.
Luis Prota - Morgan Stanley SV SAU: Yes. Thank you. One kind of follow-up question on Spain on the football costs and the economics of the football costs. So, what I would like to understand is the underlying assumptions you have maybe with maybe a more long-term view. My numbers might be wrong, but if I look at the total cost of the MediaPro deal, €2.4 billion, and then I add up the cost of the match that you were acquiring yourself, the total cost per year is like €1 billion. And then looking at the total Pay TV subscribers you have is probably 2.4 million. So the average cost per subscriber a month is €35. Not all those clients are paying for football, so probably the average cost with existing now customers could be like €50. Maybe that's too high. I don't know. So what I would like understand is the gap between this €50 and the €25 you are charging. I know that probably is about churn rate. I don't know. I would like to understand the economics and also whether you think that you will end up having to wholesale these or to renegotiate the agreement with MediaPro, if the CNMC forces to wholesale to Vodafone and Orange as well? Thank you.
José María Álvarez-Pallete López - Chief Operating Officer & Director: Thanks, Luis. Well, first of all, the number that you were doing with the MediaPro deal, I think that we need to calculate the fact that all our competitors are probably going to have the same content. And therefore, MediaPro will sell that to them. And therefore, the amount that we will be paying will be less. We'll not have that differentiation, but the cost will be splited between the players. We are, by law, required to share the (01:19:27) the best match of the weekend with them. And therefore, that will have also wholesale revenues. And therefore, you need to score that when running your numbers on average cost. Having said that, you need also to consider the evolution on the average cost going – that happened during 2015. And going forward, the churn reduction, the impact on the revenue increases that we are having is also going to have an impact on the profitability of the content costs that we are acquiring. Therefore, I think that before running the definite numbers, you need to know how much of the cost, going forward, is going to be shared, check on what is going to be the impact on potential ARPUs of the different products on the different players. And again, our view is that the promotions are going to be much more limited. And therefore, we think that penetration of – the third factor is expanding the penetration that would be enough (01:20:27) of this initial customer base that are acquiring football. All those trends should help you to calculate what is the real impact of the content costs going forward. In our numbers, it makes sense. In our numbers, it contributes to significant revenue growth for Spain. It help us to stabilize OIBDA. And it has a positive impact on free cash flow generation.
Pablo Eguirón Vidarte - Head-Investor Relations: Thank you, Luis. Next question, please.
Operator: Our next questions come from the line of Paul Marsch, Berenberg Bank. Please go ahead.
Paul Marsch - Joh. Berenberg, Gossler & Co. KG (United Kingdom): Yes. Sorry. Thank you very much. I just want to understand why the dividend – the cash dividend commitment is dependent upon the sale of O2? Because you published today that your cash earnings per share was €0.71. And you gave guidance for 4% revenue growth, stable margins. I guess, that might suggest that your cash dividend – your cash earnings per share in 2016 should be more than maybe €0.71, maybe €0.75, in which case the dividend would be one times covered. So, why would you not still pay out a full cash dividend bearing in mind, obviously, that that cash earnings per share is both continuing and discontinued businesses, so includes the cash flow you would be getting from O2 earnings? So, that's my first question. And then the second question is just relating to the €9 promotion that you've been running through December because you say in the press release that this is going to generate incremental revenues of €30 million in Q1, but that's compared to Q4. And Q4, I'm assuming, would have been impacted by spin down from existing customers, who previously were spending €40 to €50, taking advantage of the promotion at €9. So, my question is, is it incremental to the revenues of the business relative to before you ran the promotion? Thank you.
Ángel Vilá - Chief Strategy and Finance Officer: Hi, Paul. Regarding your first question, if we were – if the UK sale was not to be completed, we would have more free cash flow. Okay. We would have more free cash flow per share. So, the fact that we are conditioning moving to the full cash dividend with respect to the UK transaction is not linked to dividend coverage on free cash flow per share because actually free cash flow that we derive from the UK would help us to have an even better coverage on free cash flow. The matter – the financial point here is that we would need some time to implement other measures to reduce the debt on our balance sheet if we were not to close the UK sale. And the dividend staying it in scrip and knowing that around 80% of our shareholders are opting for shares instead of cash would help us to have some cash preservation in our balance sheet. So, it is not due to dividend coverage, which actually keeping the UK in our perimeter would improve that coverage. But it's linked to balance sheet position and to preserve some cash in order to shore up the net debt position, the leverage position in the balance sheet until a second or an alternative plan were to be implemented regarding that asset.
José María Álvarez-Pallete López - Chief Operating Officer & Director: Taking your question on the end of the promotion in Spain and the impact going forward. First, we are talking about the net effect of all things being considered. The customers that move from the high-end package downwards and also the ones that have been moving upwards. The overall outcome of the – out of the, roughly, 700,000 customers that were onto that promotion is that a significant amount of them, I would say, more than 78% of them has moved upwards. Therefore, we're having been having an upward move that is more than compensating the initial downward move. So, it's a net effect. And therefore, they are moving out with some different package. Some of them move into the premium package or they move just into the football or they just move into the fiction package. Overall, the impact that that is having is roughly between €10 million and €12 million, additional €1 million per month. And that's why we have been giving this indication of slightly more than €30 million per quarter. So, summarizing, it is a net impact and is considering the net effect of the ones that initially were up and then get down to the promotion and the ones that are moving upwards after entering into the promotion. The net impact of that is positive in €30 million per quarter.
Pablo Eguirón Vidarte - Head-Investor Relations: Thank you, Paul. We have time for our final – just for one final question, please. Thank you.
Operator: Our last question comes from the line of Ivón Leal, BBVA. Please go ahead.
Ivón Leal - Banco Bilbao Vizcaya Argentaria SA (Equity Research): Hello. Good morning. Thank you. Just my two questions. One is on Spain. I would like to understand if you really have the choice to freeze fiber deployment in regulated areas given the investment you're making on content. And by these I mean, you think you can deliver sufficiently attractive customer experience on the IPTV product through the copper network? That's the first question. And the second one is on infrastructure. You talked about additional alternatives for Telxius. Would that include losing control of the asset? And I would like to understand if, for you guys, there is a difference between strategic infrastructure you have to control and non-strategic infrastructure that you can sell?
José María Álvarez-Pallete López - Chief Operating Officer & Director: Ivón, on the first one, if we had the choice, well, first, I think that we need to see if we can keep growing in revenues because with this new framework. The answer is yes. And still we have not decided if we'll keep growing or not into other zones because we don't know the prices that are going to be established for these indirect access or for the wholesale bitstream access. But for the meantime, and again, I have stressed as well that there are some positive on this new regulation like the geographical segmentation and the retail minus orientation when deciding the price of the indirect access to both the bitstream wholesale and the local access. Having said that, we have 14.3 million households passed, and therefore, just connecting those households will give us significant room to maneuver during the next few years. And on top of that, we do not disregard getting to other zones depending on what the price of this unbundling may be. So that's where we see value because we have been acquiring the content rights for three years, and with the existing regulation, we see value ahead of us in keep growing our customer base, and therefore, accelerating the capillarity of the distribution capabilities that we'll have for this content cost. And then on the – and also remember that we have 100% coverage to satellite through the Digital Plus acquisition. And therefore, we can also optimize through the distribution there. And then on the infrastructure, we are expanding very heavily over infrastructure layer, was that to be fiber, LTE, backbone, backhaul, submarine cables, distributions. We are consolidating data centers. So, we have a first layer, a first blood on our infrastructure that this is amazingly powerful. And we need to have operating control of that. But in some infrastructure, we don't need to have a full control of that. And that's why we think that having investors that are attracted by sharing the growth that we have foreseen out of the creation of this big infrastructure that is going to deliver speed and capacity is something that is appealing. So, the answer is, yes. We see value in sharing that mostly in order to accelerate our – and being able to sustain our infrastructure deployment, and also we aim to have operational control of the strategic parts of our network. And therefore on the strategic ones, we would not be losing control.
César Alierta Izuel - Executive Chairman and Chief Executive Officer: Well, thank you very much to all of you for attending this conference call. And I would like to make a final comment. The underlying earnings per share, which is the real earnings per share of this company is €1.12. If you look at the quotation that you make, you would find what is our payout ratio. We are fully committed, and I'd say, fully committed to the dividend of €0.75 and the dividend yield is about 8%. As I have told you, we are fully committed to this dividend as a minimum for the coming years. And also let me stress one point, which is very, very important, where it says in my presentation, data monetization is there and it's going to increase clearly all our financial metrics, revenues, EBITDA (sic) [OIBDA] (01:30:12) and net income. Thank you very much. And I wish you all a good weekend. Thank you.
Operator: Telefónica's January-December 2015 results conference call is over. You may now disconnect your lines. Thank you.